Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2018, Hess Midstream Partners Conference Call. My name is Brian and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Jennifer Gordon, Director of Investor Relations. Please proceed.
Jennifer Gordon: Thank you, Brian. Good afternoon, everyone, and thank you for participating in our fourth quarter earnings conference call. Our earnings release was issued this morning and appears on our website, www.hessmidstream.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the Risk Factor section of Hess Midstream's filings with the SEC. Also on today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the earnings release. With me today are John Gatling, Chief Operating Officer; and Jonathan Stein, Chief Financial Officer. I'll now turn the call over to John Gatling.
John Gatling: Thanks, Jennifer. Good afternoon, everyone and welcome to Hess Midstream’s fourth quarter 2018 conference call. Today, I'll review our operating performance and recent highlights as we continue to execute our strategy, and provide additional details regarding our 2019 plans. I will also discuss Hess Corporation's latest results and long-term outlook for the Bakken where they plan to grow production to approximately 200,000 barrels of oil equivalent per day by 2021, which represents a 20% compound growth rate. Jonathan Stein will then review our financial results. First I'd like to reflect on the progress we've made over the past 12 months. We continue to invest in our strategically positioned and integrated oil and gas systems, further expanding our strategic footprint and enhancing our execution track record. In 2018, we met all Hess Midstream execution milestones through our $325 million expansion capital program, adding new crude oil and gas gathering pipelines and compression capacity to support Hess and third-party volume growth. In addition, the operator Targa Resources continued to advance the construction of our 200 million cubic foot per day JV gas plant, Little Missouri 4. Also in 2018, we’re pleased to have delivered another year of very strong operating performance. We continued the safe and efficient operation of our Hawkeye Oil and Gas facilities, and the Johnson's Corner Header System all of which were bottom line in 2017. These projects enabled us to deliver more than double-digit percentage throughput growth in 2018, compared to the prior year. Our gas processing volumes grew by 17% to our full year of 2018 average of 233 million cubic foot per day, while our crude terminaling volumes grew by 46% to a full year average of 101,000 barrels of oil per day. Now turning to our fourth quarter results. Gas processing volumes were 238 million cubic foot per day, approximately flat with the third quarter, primarily due to maintenance activities at the Tioga Gas Plant. Third parties contributed approximately 35% of the overall gas processing throughputs during the quarter, above our long-term run rate of 30%. In the fourth quarter of 2018, crude terminaling volumes were 121,000 barrels of oil per day, an increase of 22% from the prior quarter. As volumes increased from Hess and third parties, additionally, we had strong third party demand and increased throughputs in our crude oil gathering system and export terminals. Now, turning to Hess upstream highlights. Earlier today, Hess reported fourth quarter 2018 production from the Bakken of 126,000 barrels of oil equivalent per day, which represented an increase of approximately 15% over the year-ago quarter, and above the previous guidance of 125,000 barrels of oil equivalent per day. For the full-year 2018, production averaged 117,000 barrels of oil equivalent per day, in line with full-year guidance of 115,000 to 120,000 barrels of oil equivalent per day. For full-year 2019, Hess continues to forecast that Bakken production will average between 135,000 and 145,000 barrels of oil equivalent per day, approximately 20% above 2018 levels. As described at their December Investor Day, through field trials and independent study, Hess confirmed that in 2019, they will transition to full plug and perf completions program that generates 15% to 20% uplift in IP 180s compared to the sliding sleeve completion design. Hess has a substantial 15-year drilling inventory that can generate average IRRs of more than 50% at $60 WTI. Based on the results to-date, Hess plans to operate six rigs, increasing production to 200,000 barrels of oil equivalent per day by 2021, representing a 20% compound annual growth rate. This production is a key -- is a trajectory -- this production trajectory is a key driver to sustain volume growth through our advantaged infrastructure position. Turning to Hess Midstream guidance for 2019. In 2019, we anticipate continued volume growth, driven by operational catalysts being delivered throughout the year. The anticipated growth is driven by Hess' planned production ramp, our expanded gathering and compression systems, the startup of LM4, which the operator expects to bring on in the second quarter. For full-year 2019, gas gathering volumes are forecast to be between 280 million and 290 million cubic foot per day, and gas processing volumes are anticipated to be between 265 million and 275 million cubic foot per day. Prior to the startup of LM4, we anticipate processing volumes to remain relatively flat compared to current levels, as TGP operates close to its nameplate capacity. As indicated in our December guidance release, we expect gas volume growth to be weighted towards the second half of 2019, in line with the ramp-up of gas processing from LM4. For full-year 2019, crude gathering volumes are forecast to be between 105,000 and 115,000 barrels of oil per day, and crude terminaling volumes are anticipated to be between 120,000 and 130,000 barrels of oil per day. Now, turning to Hess Midstream's capital program. In 2019, we continue to make targeted investments in our strategically located infrastructure, expanding our asset footprint and capabilities to support Hess' development program and anticipated growth from third parties. The 2019 capital program is primarily focused on the continued expansion of the gas compression capacity, completion and commissioning of the LM4 Gas Plant and associated infrastructure, and preliminary engineering for the planned TGP expansion. As indicated in our December guidance release, the 2019 consolidated capital expenditures, including equity investments from our JV gas plant with Targa are expected to be between $275 million and $300 million. Approximately $265 million to $285 million of the 2019 capital budget is allocated to expansion activities and an estimated $10 million to $15 million allocated to maintenance expenditures. Key components of our expansion capital program are as follows: First, approximately $140 million to $150 million is expected to be allocated to continued expansion of compression capacity. This expansion supports Hess’ recently announced and increased long-term production outlook, enables the delivery of increased volumes through our gas processing facilities. These investments also maintain our ability to attract third-party business to our strategic infrastructure. Activities in 2019 include construction and commissioning of new compression facilities and associated infrastructure, expansion of existing compression facilities and early engineering for further expansion opportunities. Second, approximately $40 million to $50 million is expected to be deployed towards expanding our gas processing capacity. This includes equity investment in the LM4 Gas Plant, which the operator expects to start up in the second quarter of 2019. Furthermore, in 2018 Hess Midstream expects to progress engineering for the planned TGP expansion of at least 50 million cubic foot per day to meet increasing gas processing demand from Hess and third-party customers. Subject to satisfactory completion of project evaluations. Hess Midstream currently anticipates the expansion to be in service in 2020-2021 timeframe, which with the addition of LM4 would increase Hess Midstream's total gas processing capacity to at least 400 million cubic foot per day. Completing our expansion capital activities, approximately $85 million is estimated to be spent on undertaking other key system build-outs to meet Hess and third-party oil and gas demand including connecting wells to our gathering system. In addition to our capital investment program, we’re continually evaluating business development opportunities to further strengthen our portfolio, potentially adding new layers of EBITDA growth. In summary, for 2019, we continue to remain focused on executing our strategy. We're making volume-driven investments in our growing asset base. We have a sponsor that is showing significant and consistent growth with highly economic and substantial well inventory that's driving visible long-term volume growth for the midstream, all of which is underpinned by our best-in-class contract structure. Our financial strength is a competitive advantage and we believe Hess Midstream is exceptionally well positioned to continue to deliver our 15% annualized distribution growth target. I will now turn the call over to Jon to review our financial results.
Jonathan Stein: Thanks, John, and good afternoon, everyone. As John described, we are pleased with the progress we made in 2018 on executing our strategy. Our track record of delivery is visible in the projects and organic throughput that we have delivered and in our financial results. For the fourth quarter of 2018, we again delivered our targeted distribution per unit growth of 15% on an annualized basis, announcing our sixth consecutive quarterly increase in distributions since our IPO. Our full-year 2018, consolidated adjusted EBITDA of $497 million represented 24% growth over full year 2017 results. We delivered on our long-term 15% distribution growth target with an annual average DCF coverage ratio of approximately 1.2 times, above our long-term target of at least 1.1 times. Significantly, we accomplished this while primarily self funding both our $325 million consolidated expansion capital program and our growing distribution, ending the year with no debt. In addition, based on our 2019 guidance, we can achieve our growth targets without the need for the equity market or dropdown until beyond 2021. Turning to fourth quarter results. I will compare results from the fourth quarter of 2018 to the third quarter of 2018. For the fourth quarter 2018 consolidated net income was $92 million compared to $97 million for the third quarter. Consolidated adjusted EBITDA for the fourth quarter was $124 million compared to $128 for the third quarter. The change in consolidated adjusted EBITDA relative to the third quarter was primarily attributable to the following: Total revenues increased EBITDA by approximately $1 million, including revenues for our terminaling segment increased by approximately $2 million, primarily from higher crude terminaling volumes from Hess and third parties. Revenues for our gathering and processing segment decreased by approximately $1 million, primarily due to maintenance at TGP in the fourth quarter. Total operating expenses, including G&A but excluding depreciation and amortization, decreased EBITDA by approximately $5 million, including an increase of approximately $2 million in operating expenses, primarily due to higher maintenance activities during the period, an increase in expenses of approximately $2 million due to higher seasonal overhead, and an increase in expenses of approximately $0.6 million due to higher public company costs including onetime cost related to the integration of LM4 to our contract structure that are 100% percent allocated to the MLP and therefore have a disproportional impact on EBITDA attributable to Hess Midstream Partners compared to other costs. Fourth quarter 2018, EBITDA attributable to the MLP was $24 million. Both maintenance capital expenditures attributable to the MLP and cash interest were negligible. The result was that distributable cash flow was $24 million for the fourth quarter of 2018, covering our distribution by 1.15 times. On January 24th, we announced that the Board of Directors of our general partner approved our fourth quarter distribution that increased 3.5% quarter-on-quarter and 15% year-on-year. Hess Midstream had expansion capital expenditures of $64 million gross or $13 million attributable to the MLP in the fourth quarter. As mentioned, highlighting our ability to grow while maintaining our financial flexibility, we finished the quarter with an undrawn $300 million credit facility. At the end of 2018, we completed our nomination process with Hess and updated our tariff rates for 2019 and all forward years. As with prior cycles, the nomination process considered changes in actual and forecasted volume and CapEx to maintain our contractual, targeted return on capital deployed. During this nomination process, tariff rates were impacted by higher Hess and third-party volumes compared to previous nominations, as well as higher and accelerated capital to support this growth. The result of the tariff rate recalculation updated based on these two offsetting effects with tariff that is generally stable with 2018 rates, applied to higher volumes, driving an expected increase in revenues that supports the 14% increase at the midpoint of our 2019 MLP EBITDA guidance which we issued in our guidance release this past December. For 2019 and 2020, substantially all of our MVCs were increased, driven by higher organic volumes from both Hess and third parties. For 2021, MVCs were newly established, providing line of sight to potential growth in system throughputs over the longer term. Our 2021 MVCs implied annualized growth rates in nominated volume from our actual 2018 volume of greater than 15% across all of our systems. Due to the organic growth profile, some new invested CapEx and resulting volume projection, we have further strengthened our ability to deliver our targeted 15% annualized DPU growth primarily through organic growth. As a result, under our current plan, no dropdown is required to meet our growth targets until beyond 2021. This past December, we issued full-year 2019 guidance that we reaffirmed today. As we stated in our guidance release, we expect to achieve 15% distribution growth with at least a 1.1 times coverage on an annual basis. I would like to provide some additional perspective on the phasing of key elements of this guidance over the year. As we described in our December guidance release, we anticipate that our coverage ratio in the first half of 2019 will be approximately 1.1 times, consistent with our long-term target, followed by higher coverage in the second half of the year. This is primarily driven by our expectation of relatively flat gas processing and gas gathering volume, until the start-up of LM4, as TGP continues to operate close to its nameplate capacity. This anticipated 1.1 times coverage and our expected 15% annualized distribution growth implies a DCF for the first quarter of 2019 of approximately $24 million. In addition, consistent with the DCF for the first quarter, we expect net income attributable to the MLP to be approximately $18 million and adjusted EBITDA attributable to the MLP to be approximately $24.5 million, based on the expected MLP share of depreciation and amortization and interest expense of $6.5 million and expected maintenance and cash interest expense of $0.5 million. Following the first quarter, we expect continued EBITDA growth through 2019 accelerating with the expected volume ramp-up of the LM4 gas processing plant and driven by a forecasted double-digit percentage increase in annual throughputs across our systems. Looking at the full-year 2019, approximately 85% of our revenues are protected by MVCs, and we expect to maintain an EBITDA margin consistent with our historical margin of greater than 75%. We expect higher costs in terms of additional fees from the start-up of LM4 and higher electricity costs for which we’ve recognized revenues in an amount equal to these costs from new compression facilities. In addition, while our costs may have seasonality to them across quarters, our contract structure includes budgeted OpEx when paying the tariff fees as part of the annual nomination process. The result is that on an annual basis, we can maintain our highly competitive EBITDA margin, translating revenue growth into EBITDA growth. Full-year 2019 net income is expected to be in the range of $415 million to $440 million, compared to $372 million for 2018, an increase of 15% at the midpoint. Consolidated adjusted EBITDA is projected to be in the range of $550 million to $575 million in 2019, compared to $497 million for 2018. Adjusted EBITDA attributable to Hess Midstream Partners is projected to be in the range of $108 million to $113 million for 2019, an increase of 14% at the midpoint. Maintenance capital and cash interest attributable to the MLP is projected to total approximately $5 million for the full-year 2019. Distributable cash flow for 2019 is expected to be in the range of $103 million to $108 million. As John discussed earlier, we anticipate expansion capital attributable to the MLP for 2019 including equity investments related to the LM4 Gas Plant to be approximately $53 million to $57 million. Our guidance for 2019 highlights the strength of our business and financial strategy. Our plan achieved our 15% annualized targeted distribution growth with at least 1.1 times coverage with revenues that are 85% protected by MVCs and a unique contract structure that translates organic growth into EBITDA growth with a consistent and highly competitive margin. Critically, we expect to achieve these targets while primarily self funding both our growing distribution and robust expansion capital program with low leverage of approximately 0.5 times EBITDA or less and no need for the equity markets, driving continued organic growth through 2021 and beyond. This concludes my remarks, we will be happy to answer any questions. I'll now turn the call over to the operator.
Operator: [Operator Instructions] And our first question will come from Barrett Blaschke with MUFG Securities. Your line is now open.
Barrett Blaschke: Hey, guys. Just one quick one for me. While I realize that there's no projection for dropdowns prior to post-2021 and the capital markets remain closed, is there any incentive that as your coverage sort of creeps up with LM4 coming on that maybe you could bring down a little at a time, just to move assets into -- or the asset interest into the more tax efficient vehicle?
Jonathan Stein: No. I think, as we've talked about, we have significant and highly-visible organic growth, as I mentioned more than 15% across all of our systems. So, as you said and as you heard me say on the call, therefore, we have no need for dropdowns to meet our financial targets. As we have higher coverage, we'll do as we have done before, which is to continue to self fund our distribution and capital program. In 2018, we actually self funded both of those and ended the year with zero leverage. And looking forward, we can continue to do that with very low leverage that's at a half a turn of EBITDA or less. So, we think that that using that higher coverage in that way really goes towards helping to continue the sustainability of our model.
Operator: Thank you. And our next question will come from the line of Jeremy Tonet with JP Morgan. Your line is now open.
Rahul Krotthapalli: Good afternoon, guys. This is Rahul on for Jeremy. Just couple of quick questions here. First, can you share your thoughts on how you see HESM leveraging Hess’ volumes into equity options on potential crude oil takeaway solutions, given the recent announcements out there?
John Gatling: Sure. I mean, Hess has -- as you heard on the prior call, I mean, Hess is looking at export. Currently about 70% of the oil that's being delivered to the Gulf, we've got 50,000 barrels a day on DAPL currently, we've got the rail option. There's a number of expansion opportunities that are currently being considered, primary one is DAPL at the moment. And we are, both I think Hess and Hess Midstream looking at those opportunities, I think Hess more from a takeaway perspective to support their upstream development plan and then Midstream would be looking at it obviously to connect to our system. But then, as we've talked about before, we're always looking for those strategic investment opportunities. And if it makes sense and ties in with our system and extends our opportunity to support our customers, it's absolutely something we would consider. So, yes, we are continuing to evaluate all opportunities within the basin and export options out of the basin as well.
Rahul Krotthapalli: Got you. That's helpful. And then on the gas side, given the continued high level of flaring there, I'm just curious if HESM is in a position to capture opportunities from the dry gas out of the tailgate of Tioga and move it to the long haul pipe, similar to what like some of your peers have announced earlier this week. Can HESM participate in this project going forward or any thoughts there?
John Gatling: Yes. I mean, just to be clear, we currently have sufficient capacity from both NGL and a residue tailgate gas plant requirement. So, we've got sufficient takeaway capability. But, like I mentioned on the crude oil side, as gas volumes continue to increase in the basin, I mean, Hess has announced significant production ramp-up to 200,000 barrels of oil equivalent per day by 2021, it's a 20% per year compound growth rate that they've got from a production perspective, that obviously is oil and gas. And so, we're expecting to see gas to grow, both from Hess and third parties, which is part of the reason why we invested in LM4, part of the reason why we've announced that we're planning to expand the Tioga Gas Plant to at least 50 million a day and potentially more, depending on the demand in the basin. And so, part of that obviously would include export and making sure that we have export that fits along with our processing capability. So, while there are some recent announcements, I mean similar to the DAPL comment, I think we are always looking at those strategic opportunities to see if there is an investment opportunity there, and we're definitely talking to the same providers that have announced kind of expansions as part of just securing that export.
Operator: Thank you. Our next question will from the line…
John Gatling: Sorry. I just want to make sure -- my mic went out there and it slashed. Was I able to respond to the question?
Rahul Krotthapalli: Yes, I heard you.
John Gatling: Okay, very good. Thank you.
Operator: Our next question will come from the line of Mirek Zak with Citigroup. Your line is now open.
Mirek Zak: Just one quick one for me. Around M&A, what are you guys seeing around assets coming to market in the region, and are there any you think that may potentially fit well into your asset portfolio?
John Gatling: There has been a few announcements as far as looking to bring cash into other portfolios. So, I do think that there is a little bit of activity going on there and there is some options there, and there are definitely assets within the basin that we're interested in that are natural strategic bolt-ons to our existing infrastructure. As I kind of talked about on the takeaway, I think we would continue to look at those opportunistically. We are very fortunate that we have a kind of built-in growth into our existing contract structure and our volume forecast from an organic perspective. So, these are all additional layers of EBITDA growth for us. But, at the end of the day, we're always looking to expand in the basin, looking to expand our strategic footprint. And there are number of providers that would be a nice fit into our infrastructure. So, we are continuing to look at those and evaluate them and progress as you would expect to see.
Mirek Zak: Okay. And is this on both the crude and gathering sides or assets outside of that? And am I right to assume that you would probably look to have contracts on these systems similar to what you have with Hess at this point?
John Gatling: Yes. I mean, I think we provide oil and gas services currently. And as we've announced, there was a sell into the JV for the water business. So, that's obviously a piece of business we're looking at as well. And so, it would clearly be oil and gas services. And yes, I mean, I think we've made this fairly clear that we really like our contract structure that we've got established in future investments, our baseline would be to start with that structure, and get it set up the right way. But, there are definitely characteristics of the existing structure that we would look to replicate any future investments that we've got.
Operator: Thank you very much. This concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.